Operator: Greetings, and welcome to Twin Disc Inc. Fiscal Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Stan Berger. Thank you. You may begin.
Stan Berger: Thank you, Doug. On behalf of the management of Twin Disc, we are extremely pleased that you have taken the time to participate in our call, and thank you for joining us to discuss the company's fiscal 2023 second quarter and first half financial results and business outlook. Before introducing management, I would like to remind everyone that certain statements made during this conference call, especially those statements introductions, hopes, beliefs, expectations, or predictions for the future are forward-looking statements. It is important to remember that the company's actual results could differ materially from those projected in such forward-looking statements. Information concerning factors that could cause actual results to differ materially from those in the forward-looking statements are contained in the company's annual report on Form 10-K, copies of which may be obtained by contacting either the company, or the SEC. By now, you should have received the news release, which was issued this morning before the market opened. If you have not received a copy, please call our office at 262-638-4000, and we will send a release to you. Hosting the call today are John Batten, Twin Disc's Chief Executive Officer; and Jeff Knutson, the company's Vice President of Finance, Chief Financial Officer, Treasurer and Secretary. At this time, I will turn the call over to John Batten. John?
John Batten: Thank you, Stan, and good morning, everyone. Welcome to our fiscal 2023 second quarter conference call. As usual, we will begin with a short summary statement, and then we'll be happy to take your questions. Given the inflationary pressures and supply constraints that we saw in the first quarter, we think our teams around the world did a very good job making improvements in almost every area to deliver a better year-over-year and sequential quarter. On the top line in holding at constant currency, sales improved almost 15%. Jeff will cover the details, but most of that growth came in North America with a very healthy improvement in oil and gas rebuild activity. Global Marine and industrial shipments also improved more than what's stated in some percentages once you take the currency into account, half of each business is produced in euros. The late summer and fall months of 2022 delivered another round of cost increases that we had to pass on with new pricing in January. That should further improve gross margins as we finish fiscal 2023. Activity in all of our markets was robust. Veth’s backlog increased nicely and they had very strong shipments in the quarter. Additionally, many of their lower margin projects have now shipped. There was a noticeable improvement quarter-over-quarter in their results. Shipments in Asia declined slightly as demand slowed during some COVID lockdowns, and we also had units waiting for control harnesses and displays. This should improve in the second half of the year. Much of our inventory increase in the quarter can be attributed to this pause in shipments, but we expect this to improve in the second half. Again, other causes increased inventory remain late deliveries on key components like gears from heat treat that keep us from shipping completed transmissions. North America oil and gas had a very good quarter for aftermarket rebuilds, which will continue into the second half. New unit shipments should start later this quarter and into the fourth quarter. As I mentioned last quarter, Grizzly has released a 3,000 horsepower EnviroFracelectric frac rig with our 7,600 transmission on it, and I suspect that you will see this deployed in the field later this calendar year. Other new hybrid and electric applications that have come to the market include the research vessel resilience to be built by Snow & Company in Seattle for the Pacific Northwest National Laboratory. The RV resilience is a 50-foot catamaran that is both diesel and electric motor driven through our master clutches and marine transmissions. This should be in the water by the end of the fiscal year. I encourage everyone to visit our website for the latest updates on all of our hybrid and electric applications. In the quarter, you noticed that we recorded the gain on the sale of our Belgian facility. Through years of supply chain consolidation and our decision to focus mainly on gear production and assembly and test, we're looking for a new smaller and more efficient building for this facility. This process is well underway. Similarly, we are looking to do this with our Italian operations, and we look to be more efficient, both with our organizational and footprint structures. And now, I'll turn it over to Jeff to talk about the financials.
Jeff Knutson: Thanks, John. Good morning, everyone. I'll briefly run through the fiscal 2023 second quarter and year-to-date results. Sales of 63.4 million for the quarter, up 3.5 million or 5.8% from the prior year second quarter. The sales increase reflects improved demand in the company's global oil and gas, industrial, and marine markets. Shipments in the quarter were somewhat limited by the ongoing supply chain constraints mentioned in previous quarters, with electric components remaining the most challenging area to find reliable and predictable supply. With help from improving North American demand for pressure pumping equipment, compared to the prior year second quarter, our transmission product sales improved by 10%. Sales in Industrial products showed a slight decline of 2.5%, while marine and propulsion product sales grew by 2.7%. By region, sales in the North America were up 32%, while sales into Europe were up 3.7%. Sales into the Asia Pacific market declined by 8.3%, due primarily to a temporary pause in the shipment of certain oil and gas-related products into China. Foreign currency exchange was a net negative 5 million impact to sales in the quarter and 9.9 million for the first half. On a constant currency basis, second quarter sales increased 14.2% and 20% for the first half. The second quarter margin percent of 26.9% improved compared to the 22.5% in the prior year second quarter. This improvement in the current year is a function of improved volume, a favorable product mix, operating efficiencies and reduced inflationary impact, thanks to proactive pricing actions. For the first half, gross margin is now 25.4%, compared to 25.0% for the fiscal 2022 first half. Spending on marketing, engineering, and administrative costs for the fiscal 2023 second quarter increased 70,000 or 4.7%, compared to fiscal 2022. The increase in the quarter is primarily due to the impact of prior year COVID subsidies in the Netherlands totaling 700,000, along with inflationary impacts and a return to more normal spending activity in areas such as marketing, travel, salaries, and professional fees, which totaled 1.5 million. These increases were partially offset by a foreign currency translation impact of 800,000. As a percent of revenue for the second quarter, ME&A expenses were 25.2%, compared to 25.5% in the prior year second quarter. And for the first half, ME&A expenses were 26% of revenue, compared to 26.3% in the first half of fiscal 2022. During the second fiscal quarter, we recorded a $4.2 million non-operating gain related to the sale and leaseback of our Belgian facility, as John noted. Similarly, during the prior year first quarter, we recorded a $2.9 million nonoperating gain related to the sale and leaseback of our Swiss facility. The effective tax rate for the first half of fiscal 2023 was 175.9%, compared to a negative 131.1% in the prior year first half. The wide disparity in rates is a function of the full domestic valuation allowance along with the mix of foreign earnings by jurisdiction. Net profit for the second quarter of fiscal 2023 was 1.1 million or $0.08 per diluted share, compared to a net loss of 3.8 million or $0.29 per diluted share for the fiscal 2022 second quarter. And for the first half of fiscal 2023, we had a net loss of 900,000 or $0.07 per diluted share, compared to a net loss of 1.9 million or $0.14 per diluted share in the prior year first half. EBITDA of $6.4 million for the quarter was greatly improved from a slight loss in the prior year second quarter, and for the year-to-date, EBITDA of 6.3 million is 22% improved from the prior year first half of $5.2 million. Turning to the balance sheet. Inventory was up 9.7 million for the year, impacted by a currency-driven decline of 1.5 million. The significant increase, excluding the translation impact as a result of the temporary delay in shipment of certain oil and gas products into China, continued supply chain imbalances, customer delayed shipments, and the timing of shipments through our distribution operations. We anticipate significant improvement in our second half as we continue to focus on and refine inventory planning and sourcing strategies that will drive progress. With the increase in inventory, offsetting improved operating results, operating cash was slightly positive for the first half. Capital spending of 4.7 million for the first half was focused on the modernization of our machine tools, and we expect a similar quarterly run rate in capital spending for the remainder of the year, totaling in the $9 million to $11 million range for the full-year. Now, I'll turn it back to John for some final comments.
John Batten: Thanks, Jeff, and I'll take a quick moment on our outlook. Looking at the backlog and market conditions heading into the second half of the year, we think that we can have a very strong finish to fiscal 2023. As we mentioned, we had to implement another round of pricing to offset the additional increases that we saw in Q1 and Q2. Many of the bottlenecks that we have been dealing with are starting to improve. The most significant improvement has come in our electronic control supply, which covers all of our marine, [arch], and frac transmissions. Additionally, we see demand for oil and gas spare parts continuing throughout 2023. That concludes our prepared remarks. And now Jeff and I will be happy to take your questions. Doug, could you please open the line for questions?
John Batten: Thank you, Doug, and thank you for joining our conference call today. We appreciate your continuing interest in Twin Disc and hope that if you do have questions that you will call either Jeff or myself, and we'll try to answer them as quickly as possible. We look forward to speaking to you again following the close of our fiscal 2023 third quarter. Doug, now I'll turn the call back to you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.